Operator: Good day, ladies and gentlemen, and welcome to the California Water Service Group third quarter 2016 earnings results announcement and teleconference. Today's conference is being recorded. I would now like to turn the conference over to Mr. David Healey. Please go ahead, sir.
David Healey: Thank you, Keith. Welcome everyone to the 2016 third quarter earnings results call for California Water Service Group. With me today is Martin Kropelnicki, our President and CEO; Thomas Smegal, our Vice President, Chief Financial Officer, and Treasurer; and Paul Townsley, our Vice President of Regulatory Matters and Business Development. A replay of today's proceedings will be available beginning today, October 27, 2016 through December 27, 2016 at 1-888-203-1112 or at 1-719-457-0820 with a replay pass code of 7228386. As a reminder, before we begin the Company has a slide deck to accompany the earnings call this quarter. The slide deck was furnished with an 8-K this morning and is also available at the Company's website at www.calwatergroup.com/docs/earningsslidesseptember2016.pdf. Before looking at this quarter's results, we would like to take a few moments to cover forward-looking statements. During the course of the call, the Company may make certain forward-looking statements. Because these statements deal with future events, they are subject to various risks and uncertainties and actual results could differ materially from the Company's current expectations. Because of this, the Company strongly advises all current shareholders, as well as interested parties, to carefully read and understand the Company's disclosures on risks and uncertainties found in our Form 10-K, Form 10-Q and other reports filed from time to time with the Securities and Exchange Commission. Now, let's look at the third quarter 2016 results. I'm going to pass it over Tom to begin.
Thomas Smegal: Thank you, David. Good morning everyone. I'm going to over and reference the slide deck that we provided and talk about the quarter and year-to-date financial results. So for the third quarter, our net income was $22.9 million. That is down from $25.1 million in the third quarter of 2015. And the earnings per share for the quarter are $.48 versus $0.52 in the third quarter of 2015. On a year-to-date basis, our net income is $33.6 million, that's down from $36.5 million in the year-to-date 2015 period. And our earnings per share are $0.70 versus $0.76 in the comparable period last year. The primary drivers of the year-to-date change in earnings are a write-off of $3.2 million related to the rate case settlement. We had a water treatment plant that had been designed to be serving both Cal Water and the City of Bakersfield, and the City of Bakersfield did not want to pursue that project any longer. We went into this rate case with that as an open item and have settled the issue with the ORA and a number of other parties, and so we are writing that off in this quarter. So that is a big factor here for us. That's a one-time factor for us. In addition, for the year-to-date, our drought expenses are $4 million. Last year on a year-to-date basis, drought costs were $2.7 million, so that is dragging us a little bit again this year. And our maintenance costs are $1.8 million higher in the year-to-date period this year than last year. And for the quarter actually, the maintenance cost is very flat and what that reflects for maintenance is that we changed our maintenance regime to include fixing leaks when they occurred, even small leaks. This is in part due to a state mandate and part due to the Company's interest in making sure that the customer's aware that we are focused on saving water wherever we can. So what we see in the third quarter is the result of having had that policy in place now for more than a year. It was in place for the third quarter of 2015 as well. Other things that occur during the year-to-date period of course, interest expense is up. That's related to our long-term debt offerings at the end of 2015 and the beginning of 2016. And finally, we have the unbilled revenue accrual, and for the quarter that's down and for the year-to-date that's actually up from the prior year. And as you all know, the unbilled revenue accrual fluctuates seasonally. Generally isn't a big factor for us on an annual basis, if you look for December to December, but we do get these swings, particularly in the spring and the fall as the bills change. And so just to be aware of that, we generally think of that as a seasonal type item. So that is the highlight on the income statement. I do want to mention a couple of items on the balance sheet. Our capital investments on a year-to-date basis are $166.4 million. That is on track to meet our annual target of $180 million to $210 million, which we've disclosed in the 10-K. And it's an increase so far this year of $48.1 million, or 40% compared to the first nine months of 2015. So our operations and engineering district folks are doing a bang up job of getting the capital in the ground. That's super good news for a Company like ours, because that's the real driver of our future earnings. And then the last item I'll mention is the customer receivable for the WRAM decoupling mechanism. Increased slightly during the quarter, but it's still down substantially since the beginning of the drought period and mainly due to the drought surcharge tariff that we had in place for about a year. Now I'd like to turn it over to Paul Townsley to talk about the California general rate case.
Paul Townsley: Thank you, Tom. On slide 10 of the deck are some of the highlights of the California general rate case. As we've previously reported, we filed this rate case application on July 9, 2015, of last year with the California Public Utilities Commission. And as you know, the rate case filing that we filed covers ? is a future rate case filing, and it covers the three-year period 2017, 2018 and 2019. On September 5, we filed a settlement agreement with the California Public Utilities Commission. The settlement agreement was signed by Cal Water, by the Office of Ratepayer Advocates and by seven other parties to the case. The settlement agreement provides the opportunity for Cal Water to invest $658.8 million of capital into projects between the years 2016 and 2018. And anticipated revenue increases as a result of the settlement agreement are $45 million in 2017, $17.2 million in 2018 and $16.3 million in 2019. And there's another $30 million of revenue increases associated with the completion of projects that are advice letter projects and the filing of those advice letters with the PUC. Among the many settled issues in this particular highlight in the settlement agreement, I wanted to comment on one area, and that is the consolidation to consolidate 10 service areas of our existing service areas into three regional rate areas. And we did this because the consolidation will help address affordability concerns among customers in some of our small, high cost communities. Some of the other major issues in the rate case settlement of course are the capital projects I mentioned earlier in our 25 operating districts. Increasing the rate of pipeline replacement throughout the state in order to maintain reliability and to manage water loss. To a continuation of important technology projects, including upgrades to a number of our core enterprise systems. And of course, as I mentioned earlier, addressing affordability concerns, especially for customers in our small, high cost districts, and for low income customers in all of our districts. On slide 11, I will continue on the rate case. Now the rate case settlement is over 400 pages long. And while it was filed with the California PUC on September 5, it is currently being reviewed by an administrative law judge and will ultimately be voted on by the commissioners, the California Public Utility commissioners. It has not yet been adopted by the Commission and so it's not final, but we do anticipate the Commission will issue an order on this late in 2016 with new rates in effect on January 1, 2017. I want to just comment briefly on Hawaii. We received the decision on September 12 from the Hawaii Public Utilities Commission on our Ka'anapali Water Company rate case. And that particular decision authorized us to increase revenues by $1.1 million for that service area. But more importantly, the Commission decision came only 10 months from the date of our application, which is a dramatic improvement from the experience we had a few years ago, where it was taking two to three years for the Commission to issue a decision on our rate cases. Overall I would say that we are doing well in executing our rate case strategies both in California and in Hawaii. And with that, I will turn it over to Marty Kropelnicki.
Martin Kropelnicki: Thanks, Paul. Good morning, everyone. I want to give a quick update on what's happening with the drought in the State of California and talk about a couple of key projects that we are working on with a couple of partners that I think are significant and give a quick update on what the state's doing in terms of looking at water use efficiencies and some changes we are anticipating will come out in the early part of 2017. First, looking at the drought, well the drought restrictions have been lifted throughout the state. Much of the state still is in a severe drought and while we're off to a very good start in terms of rainfall in Northern California, it hasn't been cold enough to snow yet, but rainfall has certainly started in Northern California. All eyes should be on the snowpack as snow starts to fall in the Sierras, and what does that look like when we get into November, December and January. And obviously if we have a snowfall that doesn't stick, and if it's just running off and if we have a drier or continue a dry winter, we anticipate drought restrictions will be reinstituted in the first quarter of next year. As required by the State Water Resources Control Board, we reduced our conservation mandates. Drought surcharges were suspended the end of July for all of our customers. There's no penalty for exceeding your targets. However, we did ask all of our customers in almost all our districts to try to conserve at least 10% on a voluntary basis. A few of our districts are at 20%, so the places in the state where they're more water constrained, we've asked for a 20% reduction. To give you an idea of how it's performed the last couple of months, our accumulative savings from July 2015 to July 2016 was just shy of 27%. In August, it dropped to 20.6% and then in September we are at 20.9%. So we seem to be leveling off around that 20% reduction. That's comparable to a state number that went from north of 25% down to about 17.7%, so you saw a pretty big step up in usage in the state across the various regions. I don't have the state number for September. We anticipate that will be published here in the coming weeks as we move into November. There are a couple of projects that are very noteworthy that we're working on. The first one is we are partnering with the State Water Resources Control Board and the Department of Water Resources and we're doing an analysis of commercial and industrial customers and how they fared with the implementation of the emergency drought regulations during the process and comparing that to how residential customers did, and looking at what worked and what didn't work. We anticipate that that project will be in here by the end of 2016. The second project we're working on is a quantitative analysis of drought responses across all of our districts given the fact that we're as far south as southern LA and as far north as Chico. We partner with the Public Policy Institute, PPIC, looking at how different customer classes respond to the drought, and again, what worked and what didn't work. And we anticipate that that study will be done by the end of the first quarter 2017. And then lastly we've been sitting in a lot of the meetings with the State Water Resources Control Board where they are looking at ways to strengthen the water contingency shortage plans or the drop master plans and actually assessing that on a five year basis, so speeding up the way they look at it, and improving the efficiency standards for both indoor, outdoor and commercial use. In addition, they are looking at ways to head off water loss, which I think feeds in very well to our main replacement program that we've been working on through the general rate case. So we anticipate a new set of standards coming out from the State Water Resources Control Board that will be applicable to all customer classes, commercial and residential. We anticipate the draft will be coming out about the middle of November with the new standards. There will be a comment period for about a week, and then we expect the final analysis and standards to be released in early January 2017 that will affect all water purveyors in the state of California. That is the update on the drought and I'm turning it back over to Tom.
Thomas Smegal: Great. Just to go over as we have the last few quarters, a couple of regulatory mechanisms that we have that insulate us from the effects of the drought financially. The first and the most critical for us is the decoupling mechanism that was established for us in 2008. This breaks the link between our sales and our profits. And so if sales are down due to the drought, we are able to recover the lost fixed costs recovery at a different time through a customer surcharge. Obviously it goes both ways, so if customer demand increases, we will see that going the other way in the WRAM and have to give that back to the customer. Our drought costs are recorded in what's called a memorandum account. That's a future recovery account, we don't book those balances. We've discussed the 2015 balance through the end of last year. We did file an advice letter to recover that amount at the California Commission. We had some discussions with some of the interested ratepayer groups and filed a supplemental advice letter, which asks to recover $2.9 million in incremental drought costs associated with calendar years 2014 and 2015. And that advice letter is pending the Commission's action. The Commission has to write a resolution in order for that advice letter to become effective. So we do hope to get that advice letter done by the end of the year, but it may skip over into 2017. The impact of our incremental drought costs in 2016 is $0.05 on a year-to-date basis. That $4 million I mentioned earlier. We have seen our drought response costs come down a bit lately due to the ending of our drought surcharges and the customer call center has dropped off quite dramatically. We've reassigned those people back to their regular duties. So the $0.05 through the third quarter is probably most of the costs that we're going to experience in 2016 and we will be filing an advice letter in 2017 to recover the costs, the incremental drought costs that occurred in 2016. I mentioned the customer surcharges. Did collect $63 million in customer surcharges over the course of the drought surcharge period. And that had a big hand in reducing our WRAM balance during that time by $14 million or so. And the other mechanism I did want to remind everyone of is what's called the sales reconciliation mechanism and that gave us the opportunity at the beginning of 2016 to reset our sales targets and reset our rates to collect more cash based on a lower sales volume in almost all of our districts. So that is helping the cash collections from our rate aspects. Now I'd like to turn it over to Paul to talk about Travis Air Force Base.
Paul Townsley: Thanks, Tom. On September 29, California Water Service Company was awarded a 50-year contract by the Department of Defense to own the assets of and to provide water service to the Travis Air Force Base in Northern California. Travis Air Force Base, if you don't know, is a very large Air Force base located near Fairfield. It is the largest air transport base in North America and has about 15,000 personnel that work there during the day. What's interesting about this particular contract is that it is based on our regulated model in which California Water Service invests in infrastructure on the base and is allowed to earn on that infrastructure subject to California PUC approval. And we will also pass through other costs, production costs, electricity costs, water costs, through to the base as a flow-through mechanism. Again, as a part of the normal regulated utility model that we operate in in all of our other service areas. And we expect to initially be making about $12.7 million of investments into utility assets on the base over the next three to five years and over the 50-year life of the contract we anticipate investing about $52 million of capital investments on the base. So I think it's a very good new business for California water service. And with that, I will turn it back to Marty.
Martin Kropelnicki: So I want to talk a little bit about our capital investment spending for the year and what our projections are going forward. Clearly with this being the third year of the general rate case we don't get too excited about financial performance as we have the pending rate case. Very happy that, as Paul reported on the progress we've made to keep our general rate case on schedule and on track and very happy with the settlement that was achieved with all the parties. The other big highlight for the year is really the capital spending. We have continued to meet and even exceed our internal targets on capital spending. We published a range for 2016 of $180 million to $210 million and as we put in the release, we've spent $166 million year to date. With the proposed settlement as it's laid out on page 15 of the deck, we put what our estimates are for 2017 and 2018. Please keep in mind that these are estimates, that our capital projects can be lumpy and are subject to a number of uncertainties, including the availability of property, getting permits on time and then once something is put in service, getting it signed off so we can start serving water to customers. But as of right now, we see a relevant range of $210 million to $220 million for 2017 and $220 million to $230 million for 2018. When you look at the compound annual growth rate of our capital spending, it's about a 10-year compounding annual growth rate and we think that bodes well with where we ended up with the rate making and the affordability issues, trying to keep rates balanced with the need for investment and affordability. And I think speaks to all the work we've been doing in engineering over the last couple of years, including bringing in a new VP of Engineering, reorganized the department and getting them keenly focused on executing the capital plan. In addition, going into 2017, at the end of 2017 we'll be filing for a step increase as laid out in Paul's slides and also in the settlement. That step increase is largely dependent on our ability to execute our capital plan and get that capital in the ground, subject to an earnings test. And so one of our corporate goals going into 2017 is to be very focused on maximizing the value of that step increase and getting that capital in the ground on schedule and on budget. And I'm going to turn it back to Tom to talk about the projections on our rate base for Cal Water.
Thomas Smegal: Thanks, Marty. The next two slides in the deck I'll just mention quickly. We have updated the projected regulated rate base of the Company and this is slide 17 in the deck. What you see there are values for the adopted regulated rate base for California plus the recorded regulated rate base for the other subsidiaries. When I say adopted, what I mean is including the settlement figure and the settlement obviously is not yet adopted. So this includes the settlement which we anticipate to be adopted. And so the light blue section at the top are the advice letter projects that we have an opportunity to construct and are in our plans to construct and they total $197 million by 2019. And so that's the explanation for the rate base chart there. Flipping to the next page, just to highlight again, the difficulty historically that we've had collecting the decoupling balances through the drought period we have had a substantial reduction in the customer receivable from the WRAM balance. And so that's dropped from the end of 2014 at $45 million balance to right now it's a $30.5 million balance actually. So that's a substantial reduction and we look forward over the coming years to improving that even further. So I'm going to turn it back to Marty for some final thoughts.
Martin Kropelnicki: Right. Thanks, Tom. So how did we perform in the quarter, if we come back up to 50,000 feet? Overall we performed to our plan. When you back out the drought costs, which are recorded in a memorandum account of $4 million that we believe we will recover at a later date, and you back out the $3.2 million impairment of the joint cost of the City of Bakersfield, the Company performed right on plan financially. Very happy with all the budget, the actual performance of all of our districts and all of our departments. When you look at our performance coupled with getting the GRC settlement done on time, which is now pending PUC approval, the capital program we're breaking through new records here as we race toward the $200 million end for 2016, dealing with the drought, our extended outreach to work with the State of California and the PUC on drought related policy and also the Erskine Fire are just some of the disasters that we've had to deal with within some of our districts that have been pretty extreme. Overall, very happy with the Company's performance during the quarter and where we ended up for the quarter. What to watch for in terms of moving forward. Obviously the rate case, when that gets signed off and approved, we'll issue an 8-K to communicate that. I highly recommend watching the weather conditions. Again, we're off to a good early winter up in Northern California, but Southern California is still very dry. So we'll report on the snowpack conditions as we announce year-end earnings for 2016 and make sure we communicate that to the street. We'll continue to work with the State Water Resources Control Board and the California Public Utilities Commission on drought policies and we'll communicate those as they are evolving and we anticipate some of it will be done by the year-end earnings call, which will be the end of February. And of course, staying focused on the Company's capital program and keeping getting that capital in the ground on scope, on schedule, on budget. In addition, as we move into next year, believe it or not, we start working on preparing the next rate case, the 2018 rate case. It's a vicious cycle here. So we don't have much of a reprieve, we'll be rolling right into it. As we've talked about we've had a long process of trying to improve our capital program management in forecasting, so the teams have already started working on that. And the other thing I would mention that's noteworthy is that we do have two commissioners who will be terming out the end of this year and we anticipate we'll have two new commissioners some time end of the first quarter, second quarter of next year. And so we're waiting to see whose names start to evolve on that short list and who ultimately replace Commissioner Florio and Commissioner Sandoval as they retire from the California Public Utilities Commission. So overall, third quarter is wrapped up, raced into the fourth quarter and we look forward to getting the general rate case wrapped up hopefully by the end of the year this year. With that, Tom, I think we're ready to open up for Q&A.
Thomas Smegal: Yes, Keith, we're ready for questions.
Operator: [Operator Instructions] We will take our first question from Ben Kallo from Baird.
Ben Kallo: So first of all, could you talk a little bit about any kind of maybe risk or shift in some of your mechanisms around the drought about reclaiming some of those earnings? And then the second I guess question is about the environment for acquisitions and how you guys are looking at that. And then maybe dovetailing on that is any kind of legislative tailwinds we might expect. And I'll leave it there. Thanks guys.
Thomas Smegal: Let's take the first one and I will probably tag team a little bit with Paul. The regulatory mechanisms are pretty well set. We have found all of those mechanisms that are balancing accounts; we have a very strong probability of recovering the amounts that are recorded in those balancing accounts. So the WRAM in particular and, Ben, it's the WRAM and the MCBA are a combined mechanism. The Commission has reiterated its support for those mechanisms in all of our rate cases and in addition to that, the Commission has now issued a proposed decision in a rulemaking activity called the balance rates proceeding, which does indicate that the Commission would extend and renew those decoupling programs. So we feel very strongly that those programs are going to continue and that our recovery out of those amounts is very likely. The other issue is that the drought costs, the incremental drought costs, that is a memorandum account and a memorandum account is a little trickier at the Commission. What that means is that we are writing down in our accounting system costs that we believe to be incremental new costs that were not supported in rates prior basis and asking the Commission to recognize those costs as extra costs that are deserving of recovery. And through this process it was a bit of a give and take for the 2015 costs. We went through in great detail with the ratepayer advocate group all of the costs that were recorded there. And we did have a change to the amount that we asked for by the revised advice letter. That's going to happen as you go through these processes because they're just very detailed. A memorandum account, as we have mentioned, does not guarantee recovery of the amount. It gives you an opportunity to recover the amount. So hopefully that answers that question. Paul, did you have anything you wanted to add on those subjects? Marty, you want to talk? Paul, you want to talk about the development activities?
Martin Kropelnicki: Sure, let me [indiscernible] one thing that's changed over the last year, Stan Ferraro, who used to be the VP of Rates before Tom, who was head of our business development group, he retired, so business development has moved over to Paul Townsley. So Paul has our regulatory functions for the group, as well as our business development functions. And so Paul oversees both parts now. And as we said before, we're always out there looking; we're always out there kind of kicking the tires. It's hard to buy assets in California because the price tags are so high and given the valuations and being the fact that we're rate regulated, sometimes it's hard to make money if you overpay for those assets. But we're always out there looking. Paul, you want to give a quick update?
Paul Townsley: We are retooling and refocusing our business development efforts at Cal Water right now. In terms of California, which is I know where a lot of people are interested in; we have seen a recent uptick in smaller municipal utility offerings. These are the public system offerings. I anticipate that this is as a result of communities coming to grip with their aged infrastructure and their inability to raise rates because of it. Also, many municipal systems, unlike Cal Water, do not have decoupled rates. And so they have been significantly constrained by lower sales to customers and a loss of revenue. And so there are, over the last 12 months, have been a number of smaller systems that have come to the market and are being evaluated for acquisition. So there is an uptick there, but as Marty said, there's also a lot of competition for those systems. The other thing that I think the drought has done is it has really helped raise the awareness of the general public of the value of water, the value of having a reliable and clean water supply delivered to their homes. And some of the small Central Valley communities that have run out of water, which have been very unfortunate, have really helped everyone to realize that having a professional owner and Operator of their water utility asset is a good thing. And as Marty also mentioned, Cal Water and some of the other investor owned water utilities in the state have really led the state in conservation efforts and in addressing some of the drought issues. So I see opportunity for us, I see lots of competition, but I see that people are beginning to realize that investor owned water companies are a good, viable alternative to owning their assets.
Martin Kropelnicki: And then Ben, the last part of your question, any legislative tailwinds, the drought is a crisis and obviously there's a lot of buzz in Sacramento about how do we prepare for the next one or what if it gets extended. One of the strategic changes we made internally this year is we've ramped up our government affairs and community relation teams. As Tom mentioned, kind of at the local level, making sure that we spend more time on community efforts, talking about the drought, talking about what we're doing, talking about our capital programs. And then a number of the officer team is spending a lot more time in Sacramento, whether it's these projects who are participating with the State Water Resources Control Board or the Department of Water or the Public Policy Institute of California, making sure that we have our seat around the table, talking about water policy issues as they're being evolved and being developed. So nothing big yet on the legislative side, but again, watch for these new rules come out of State Water Resources Control Board that'll come out in a couple of weeks that we believe will be used and become effective in January.
Ben Kallo: And I guess the federal level is not really a priority at all or is there something there that could kind of come out of if you have the White House and Senate.
Paul Townsley: There's a couple - there's been a couple of water bills that have been sponsored by Diane Feinstein and I think Barbara Boxer. But you end up frankly getting the split that happens between Northern California and Southern California politically. We use NAWC or the National Association of Water Companies. In fact, I became President - the incoming President of NAWC this month. So there is some financing bills that are coming through that will give access to funds to the EPA for our systems that are underserved or underdeveloped that would be may be a lower cost alternative for the development. The only caveat I would put on that is even though we may have access to those funds, sometimes our cost to capital is cheaper than theirs. And that's one of the things we have evaluate when we look at water system enhancements on a system-by-system basis based on a geographical footprint and the needs of that system. So there is some stuff percolating, but the water systems and industry is still very fragmented and there's a difference between state and federal. And I think the governor's view on water and preparing for the next strata is this really is a state issue. And that's why all of our eyes are on the State Water Resources Control Board.
Operator: We will take our next question from Spencer Joyce with Hilliard Lyons.
Spencer Joyce: Want to ask about the $2.9 million filing to recover the 2014-2015 drought memoranda expenses. Does that replace the $4.2 million filing that we already had on the books? Or is that added to the $4.2 million?
Paul Townsley: Spencer, this is Paul Townsley. That is an update to the $4.2 million filing that we made earlier. In reviewing the numbers and working with the Office of Rate Payer Advocates, we have updated that to really reflect what are truly incremental costs. That meaning costs that were not already recovered in existing rates. And so the $2.9 million is really a more accurate expression of the incremental drought costs.
Spencer Joyce: So I guess the next question kind of follows is should we expect a year from now or so when we get the filing in ‘17 to recover ‘16 and then perhaps in ‘18 to recover ‘17, should we discount that initial number again? Should we expect other incremental haircuts for lack of a better word?
Paul Townsley: Spencer, the filing that we made to recover drought costs in 2014 and 2015 was really our first attempt at doing this. And so as a result of that we were creating a new method to try to determine what were incremental costs related to the drought and what costs were really already included in rates. So those lessons that we've learned as a part of this filing we will apply in our 2017 filing to recover 2016 drought costs. And if there are 2017 drought costs, we'll apply those in our 2018 filing. So I wouldn't go so far to say that there, you know, you apply a haircut to it, we're just getting better at how we calculate and file for those costs.
Martin Kropelnicki: It's Marty. Anytime you file an advisable like this, it's subject to a review by the regulators in the ORA. And so the revised number was after we sat down, several meetings with the ORA and that the number that we came out with. That's why the new filing reflects the updated number.
Spencer Joyce: Points well taken there. Thanks for the color. To switch gears here a little bit, just want to touch on the GRC. Still some potential to get it totally done and wrapped up this calendar year, but if it does happen to leak into the first quarter of 2017, am I correct in that we really shouldn't see any impact to the first quarter income statement, as long as we can get that wrapped up within the first few months of the year. Is that right or am I missing something?
Martin Kropelnicki: No, I think you're right on there. I think the difficulty for us is that Commissioner Sandoval is the driver of the rate case timeline and so she's really pushing as we understand it to make sure all of our cases get out on time before she leaves the Commission. We don't want to lose that momentum. And so one concern would be if it does lapse after December it might not be just the next - the very next meeting in January. It might be some time before the new commissioner gets up to speed on the case. But that said, certainly if we get the rate case before we file the 10-K and all of that, I think we're going to be in good shape for the first quarter working on those issues.
Paul Townsley: And I might just add that we have filed for what's known as interim rates in this case. And what that means is that if the case decision is delayed into 2017, after January 1st, that we would be entitled to go back and to recover those newer rates retroactively back to January 1st. So it would be a timing issue if it slipped into next year.
Spencer Joyce: One last one for me and I'll try to ask this as simply as I can. The accrued unbilled item has been a bit of a slippery fish for us from a modeling standpoint for a few quarters now. And my question here is simply projecting four quarters forward from here, should we expect changes in accrued unbilled to represent a net headwind to your earnings per share or a net tailwind? And again, kind of EPS over the next four quarters.
Paul Townsley: Let me try to give you a slightly different answer than the question you asked, and I apologize for that, but I'll explain why. We have looked back over the last six or seven years and found that at the end of the year, so the year-end accrual for the unbilled revenue, averages zero. Averages no headwind, no tailwind. And so what that means to us is when we get to our year-end number, I can tell you based on historical precedent that it'll probably be about zero as we go forward four quarters from there. What I can't tell you right now is how the third quarter lines up because the first and the third quarter have really been our most variable quarters for this, largely because that's when the weather in California is changing and the amount of the bills are changing for our customers. So if you wanted to get greater comfort, you would probably go back to the December amounts and I would tell you that they're probably not going to change from December to December, if that helps.
Spencer Joyce: I guess as a slight follow-up, if we jump back to 2015, did 2015 wind up at kind of that net zero, that sort of average of zero? Because it was my impression that it was a little bit worse maybe than kind of a zero impact on earnings.
Paul Townsley: Spencer, that's right. So and unfortunately when you deal with something that, and I said this is the long-term average, 2014 we experienced a higher than zero number. 2015 we had a lower than zero number. Over time, this is just simply an accounting balance that is created, it's never going to have an ongoing long-term drag or increase factor. It's really sort of a spot check on this unbilled amount. So yes, we were up in 2014, we were down in 2015, but on average we're at zero.
Spencer Joyce: I know we try not to over emphasize that too much to our clients here, but just do appreciate the color there. That's all I had.
Operator: We will take our next question from Mark McClain with Ladenburg Thalmann. Please go ahead.
Mark McClain: A couple part question. First off, it seems like the California Commission has a pretty busy schedule. Sandoval trying to get everything done before she leaves. And I know one of the bigger concerns or recent talk has been the costs of capital extension, mechanism extension and then wanted to know your thoughts around that. Do you feel that item is potentially delaying the finalization of your settlement? And do you foresee this cost of capital extension being extended, if it is extended? Is this something that you and your other water utilities would likely follow suit and look for extension yourself? And then the other part of my question is you've given a 10% CAGR from 2017 through 2018 and then I notice you've put out an estimated 2019 rate base. Are you in theory extending your CAGR here? When will we get an update on 2018 and beyond? And is that simply because you have these rate cases to file in 2018 for, I guess, the 2019 through 2022 period. I know that's a lot of questions, I apologize if I came at you.
Martin Kropelnicki: That's okay, Mark. I think we can address them all in turn. So Paul, do you want to start with the regulatory scheduling issues?
Paul Townsley: Yes, so I would be happy to. First of all, the cost of capital proceeding at the California PUC is a completely separate and distinct proceeding from our rate case and from other utility rate cases. So I do not see any interference or interplay between the previous extensions that have been approved by the Commission and our rate case. I believe our rate case settlement and our rate case decision are on a path to hopefully being decided this year. But there is no overlap between that and the cost of capital issue.
Mark McClain: Okay, fair.
Paul Townsley: The second question you raised was on cost of capital extensions. As you're aware, the Commission approved applications from the water utilities over the last two years to extend the cost of capital proceeding another year because of the interest rate environment remained relatively low and relatively stable. We understand that the electric utilities are also planning on requesting an extension again for next year and I think we are evaluating right now really where we ? what we should do. If we do file for the cost of capital extension, the ? I'm sorry, if we do file for a cost of capital application, that would be filed by next March. And so really I think we and our fellow investor owned water utilities, the large ones, are evaluating what the electric utilities are doing and where we should be going and we'll probably be making that decision over the next couple of months.
Martin Kropelnicki: So getting to the next point, I just wanted to clarify and Paul could do this as well, but the rate base for 2019, because of the way they calculate rate base, it's a weighted average rate base for the year. And so it's largely dependent upon the capital budget for 2018. There is a calculation that the Commission uses to assume a certain level of capital investment in 2019 that helps generate that 2019 rate base. Attrition capital investment. That's going to be an average of the CapEx for the 2017 and 2018 period, and that's going to get you sort of a projected CapEx for 2019. That's not what we necessarily are going to spend in 2019 and we haven't finalized our actual capital plans for that year. We do have a nine-year capital planning period and that means that we're looking out three rate cases in our engineering and operations groups to make sure that we're capturing all the facilities that need improvement and all of the programmatic approaches that we have. But we haven't put a dollar value on our specific request in the 2018 rate case for what the 2019 capital investment will be. But the 2019 rate base as we show it now reflects the Commission's adopted schedule.
Paul Townsley: That's one of those things when we file the next rate case we typically start talking about the capital program and what's included and what are the dollars. So it starts to give that forward look to the street to the analysts who follow our stock.
Mark McClain: Right, so that's why I brought up the fact is this something that you, I guess, guide to once you get through this next round of rate cases.
Paul Townsley: Right, we'll start guiding on that when we file the rate case and we'll indicate what we filed for in that rate case. And that'll be July of 2018.
Martin Kropelnicki: It's probably noteworthy, Mark, this idea the deck that we put out now, we started doing this for the first time this year because we found that the components of rate making are rather complicated. And even though we might plaster it all over our 10-K or 10-Q, people were doing things wrong. So we would get a step increase and they would count it as 100% equity versus adjusting it for the cap structure. Or they would assume that we have a one-time tax benefit in one year even though we put that in the Q with the one-time tax benefit, you're all for the following year and analysts would miss their number because they assume that went out in perpetuity. So the idea of doing the deck, we try to put enough data in this deck that allows analysts to model the number successfully with the right input based on the most current information that we have. So we put this deck out every quarter to hopefully help clarify and help give good inputs to anyone looking at our stock and how we make money as a rate regulated utility.
Operator: [Operator Instructions] We will go next to Jonathan Reeder with Wells Fargo.
Jonathan Reeder: Hey guys I'm good at this point, thank you.
Operator: And at this time we have no further questions in the queue.
Thomas Smegal: Great. Well thanks, everyone, for your interest in California Water Service Group. And we look forward to talking with you all at the end of the year for our fourth quarter earnings announcement next February. Have a good holiday season and talk to you all later.
Operator: Ladies and gentlemen, this concludes today's conference. We appreciate your participation. Thank you.